Operator: Good morning, ladies and gentlemen, and welcome to Covalon’s Fourth Quarter Fiscal 2024 Conference Call and Webcast. My name is Jenny, and I will be your conference operator today. As a reminder, today's conference call is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Brent Ashton, Chief Executive Officer and Ms. Katie Martinovich, Interim Chief Financial Officer. Please go ahead, Mr. Ashton and Ms. Martinovich.
Brent Ashton : Thanks, Jenny, and good morning to all of you on the call today. I hope that you all had a great holiday break here a week or two ago and are really excited at the recent turning of the calendar year here for 2025. We appreciate you connecting in today. Katie Martinovich, our Interim Chief Financial Officer, has joined me on the call here. And Saleha Assadzada from Covalon is helping to coordinate the conference call and the webcast today. And she'll now provide us with some instructions.
Saleha Assadzada : Thank you Brent. Good morning everyone. My name is Saleha Assadzada and I am the Executive Assistant to Covalon's Chief Executive Officer. I would like to thank everyone for taking the time this morning to attend our conference call. We will be discussing the financial statements, MD&A and press release related to Covalon's fourth quarter and full 2024 fiscal year ended September 30th, 2024. There will be an opportunity for you to ask questions at the end of the call. Before we begin the discussion, I would like to remind participants that this call and webcast are covered by Covalon's Safe Harbour Statement. Certain statements included on this conference call may be considered forward-looking. Such statements involve known and unknown risks, uncertainties, and other factors that may cause our actual results, performance, or achievements to be materially different from those implied by our statements. And therefore, these statements should not be taken as guarantees of future performance or results. All forward-looking statements are based on management's current beliefs, assumptions, and information currently available to us and related to anticipated financial performance, business prospects, partnership opportunities, strategies, regulatory developments, market acceptance, and future commitments, among other things. Participants on this conference call are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this conference call. Due to risks and uncertainties, including those identified by Covalon in our public securities filings, actual events may differ materially from current expectations. Covalon disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. In the management's discussion and analysis, press release, and this call, Covalon has provided non-GAAP financial measures that are meant to provide further understanding of our results by helping to highlight trends and assist in comparing different periods. The adjusted gross margin and adjusted EBITDA are terms that do not have any standardized meaning and may not be comparable to other companies. These measures are not meant to replace the similar IFRS accounting standard measures and any adjusting items may occur in the future. I will now turn the call back over to Brent Ashton, Covalon's Chief Executive Officer.
Brent Ashton : Thanks much, Saleha. Great to be able to speak with all of you today. During our call, I'll be covering three things. First, I joined Covalon one year ago, this past Saturday, and I'd love to provide you with my view on how exciting this past year has been and how much we've accomplished. Second, I'd like to talk to you about the excellent results of our fourth quarter and our 2024 fiscal year that ended on September 30th. And third, I also want to tell you that we have so much more we can do and will do in the next year and beyond. I'm electrified about the growth opportunities that lie ahead. This growth won't be completely linear and we're certainly in the early stages, but I'll be sharing some details that give the Covalon team a lot of energy for our future as a company, as well as some of the key areas of focus for us here in 2025. And after this, we'll take Q&A from this audience. So jumping right in, it's been a year and three days since I joined Covalon. I came to this company with a strong background in the spaces that Covalon plays-in, thanks to nearly 20 years of leadership roles at 3M and Becton Dickinson and I came in with a ton of excitement and optimism for what we could accomplish in the short and long-term. I really couldn't be more proud of what we've been able to achieve this past year, while also acknowledging that we're really just getting started on the multi-year journey to transform Covalon. A year ago, we reported our ninth consecutive quarter losing money, attributable to many things, including a large for our size, misaligned commercial organization that was just not generating the revenue needed to achieve profitability. Today we're reporting our third consecutive quarter of greater than 30% growth and our third consecutive quarter of positive net income and EBITDA, really a function of a number of critical changes and focused areas of activities. These include the move to a smaller, more effective, customer-focused commercial organization that did a really solid job delivering growth in the areas that we directed them to. With a strong focus on our U.S. Medical consumables business, this would be the combination of our U.S. advanced wound care business, where we sell primarily collagen dressings through our U.S. distribution partners, as well as our U.S. vascular access and surgical consumables business, where our Covalon team sells vascular access solutions and post-operative surgical dressings to U.S. based hospitals and other providers. So in this focused part of Covalon, we were able to drive significant growth of more than 65% in 2024. And we accomplished this incredible growth with about a third of the sales team members that we had in place a little over a year ago. There's been a ton of progress on the operations front strengthening our in-house manufacturing, making critical investments in our quality team and systems, advancing our regulatory approach and implementing a sales and operational planning system to reduce excess inventory or back orders. These advancements and investments have been a large part of our 2024 margin expansion success. We've also paid significant attention to our operating expenses, being a lot smarter about what and where we are spending up and down the organization. On this front, we were able to decrease our operating expenses by a little more than $2 million for the full year, even while we grew the business by almost $5 million. So these areas of focus in 2024 led us to completely flip our income position and achieve full year adjusted EBITDA of almost $5 million. In 2024, we also generated strong free cash flow after several years of cash burn. When combined with the warrant exercise proceeds in September of 2024, this led us to increase our cash to almost $17 million at the end of September, an increase of nearly $8 million, which is almost double our cash position from a year ago. And with zero debt, this positions Covalon very well for future actions to accelerate growth, reduce costs, and invest in an exciting future for our company. In previous earnings calls, I've alluded to the significant amount of work that was needed to clean up some of the challenges of the past and enable us to build a strong future. We've accomplished a lot and this is setting Covalon up with a much stronger foundation to build from. I am very grateful to the full Covalon team for being willing to embrace change, do things differently, and drive a strong continuous improvement mindset. And perhaps most importantly, Covalon has an amazing family of products and technologies that save lives and improve patient quality of life and clinical outcomes. And as I reflect on the past year's activities this is the area that really jumps out at me professionally and personally. It's been so incredibly gratifying to speak with patients and the clinicians who care for them and just hear their stories that they share in their own words on the amazing benefits they saw to using our unique differentiated technologies. In the future, we will look to share some more of these stories, but for now, one quick one. This is from a mother of a three-year old child who was recently in Boston Children's Hospital to address some challenging cardiac and gastrointestinal issues. And they had to have a vascular access catheter inserted into his body to provide critical to life infusions. And what she told us was, my son is almost three, and we had a really hard time finding dressings that would stay on securely without causing his skin to break down and cause all sorts of other issues. The Boston Children's Care team introduced us to Covalon's IV-Clear soft silicone dressing, and it has seriously saved his skin. I know I speak for the entire Covalon team, when I say that it's really stories like this that motivate us to wake up each day, focused on how we can get more of our amazing products in use for the people who need them so dearly. And while our share price has more than tripled over the past 12 months, as a result of our strong progress and accomplishments, I don't believe that the market has fully appreciated the value of Covalon relative to the significant runway we have to create value in the coming years nor in comparison to the multiples of other med-tech companies. And so as we look forward, it's really clear that we have an amazing opportunity to unlock significant further value for our shareholders. So, to sum up part one of our time together here, it really was a strong 2024, a lot of great accomplishments that we're proud of, but I can assure you that no one in Covalon, including myself, feel like we're ready to fly that mission accomplished banner. In fact, it is really just the opposite, we've only just begun. So with that as a backdrop, it feels like a good time to cover our Q4 and our full year 2024 financial results in just a little more depth. I'm going to cover some of the key highlights here. And we've included greater details, both in the appendix to this slide deck that's up on our website, as well as in our press release, our financial statements and our MD&A which are also all available on the Covalon IR website. Covalon delivered on a really solid Q4 financially, with almost $9 million in revenue, which represented growth of 29% year-on-year. We will double-click on that in the next slide. This strong growth over Q4 last year enabled us to deliver an adjusted EBITDA amount of $1.1 million in Q4. And then for the year, just over $31 million in revenue. That's a growth of 17%, and that growth was inclusive of a $2.5 million decrease associated with our past decision to shift focus and resourcing from the Medical Coatings business to the U.S. medical consumables business. Excluding this coatings piece, Covalon grew almost 30% in 2024. And with this strong growth, we were able to post adjusted EBITDA for the year of $4.8 million a significant improvement from 2023. We did this all while spending a lot of time and effort, cleaning up some of the company's challenges and driving sustaining efforts in order to establish a really solid foundation that will support our future growth. And that growth work is underway and accelerating as we turbocharge our demand generation activities and set the company up for long-term success. Going a little deeper into some key financial outcomes here with the strong focus on that U.S. medical consumables business here, you can see the exceptional growth that we have driven in this space both for the quarter at 72% and the year at 66%. Margin wise, a huge turnaround here from Q4 a year ago, as well as for the full year. The two big drivers here were on the operations side where our continued optimization of our in-house manufacturing efforts delivered a lot of benefit, as well as additional help from product mix. And from an operating expense standpoint, a sizable reduction in operating expenses for the quarter and the year. A significant chunk of this decrease was the cost savings that were realized from the restructuring of the U.S. commercial team. And this drove a 33% reduction in our overall sales and marketing expense for the year. But it is also worth noting that in a year where we took on a ton of sustaining work to build the strong foundation for the future, and a year where we grew the business by almost 20%, the total operating expenses for the company, excluding sales and marketing only grew 5.8%, a ringing testament to smart operating expense management and a highly efficient Covalon team. And then looking to income and cash. The $1.1 million in adjusted EBITDA in Q4 was a $2.9 million turnaround from a year ago and even more impressive for the year with a $7.5 million improvement from 2023. Earnings per share came in solid for the year at $0.11 per share, which was a big increase from last year's negative $0.29 per share. And from a cash position, as I alluded to earlier, a significant swing from the end of 2023, where between strong free cash flow generation and the warrant proceeds, we increased our cash position by almost $8 million to get to $16.7 million. And it's worth noting here that we do maintain the bulk of our cash position denominated in U.S. dollars which resulted in a positive currency benefit within 2024 and likely continues as we move forward here in 2025. And moving to the next slide, I wanted to provide a little more visibility and granularity to our U.S. Vascular Access and Surgical Consumables business, which it's a smaller portion of our revenues today, but it is a really important area of focus for Covalon and one that is growing rapidly. I'm going to show you a couple of database examples of the business that give the team and I, a lot of optimism and confidence that our strategy is working. One thing right-off the bat is that Covalon is a strong partner to the hospitals that if you wanted or needed the best care possible, these are the ones you would go to. In fact, of the 10 best U.S. children's hospitals according to the latest U.S. News & World Report rankings, Covalon is a trusted partner to [aid] (ph) of these. We help these amazing institutions provide the best possible care via our unique and differentiated vascular access solutions and post-operative surgical dressings. As you'll recall, in the past 15 months, we did have to make a series of tough but very deliberate decisions to our U.S. medical consumable selling teams. To it, of the 14 individuals who had U.S. sales, as a primary role back in October 2023, only four of those individuals are still with the company and we've added two new members to the team. We've also been implementing a new [CRM] (ph) system to add robustness around pipeline management, as well as general, rigor and management attention to our sales and marketing focus. And with such a large amount of disruption, in 2024, the U.S. Vascular Access and Surgical Consumables team had a very high focus on maintaining continuity with our largest and most important hospital customers. And the team did a stellar job here. We maintain all but one of our top 50 accounts, hospital accounts that is from 2023. And the one loss was more of a portfolio discontinuation decision. So that was some really solid execution. But even with all that distraction, our #2 priority was to grow revenue at our existing accounts, increase the usage of products we already had adoption of and then also cross-sell to add new products into play at the account. In a lot of cases, this meant some new introductions, introducing a new Covalon employee to the customer, rebuilding relationships and whatnot. And here, we also had a lot of success. We were able to grow our revenue at our top 50 hospital accounts from 2023 by 55%. And on the next slide, I'll go one step deeper on this. And then our third selling priority of 2024 was to add new customers to the mix. And here we had a solid outcome of adding 66 new hospitals to the Covalon family, which was a big increase from a year ago. So a lot of success here, even in a year with a lot of change. And now to look a little closer at the growth of existing accounts. This slide is another demonstration of the success of the commercial playbook. If we dig in and look at the 15 largest children's hospitals in the United States. And here, we use the inpatient bed count from Becker's Hospital Review as the source. At the end of our 2024 fiscal year, Covalon had business at 10 of these 15 big children's hospitals. And if you look at the growth that we've seen at most of these accounts in 2024, it really demonstrates the success of the strategy and the focus. All 10 of these large institutions grew at least above the market growth rate of about 5% in 2024. Eight of the 10 of these accounts grew revenue at least $50 million, which is 10 times the underlying growth rate. And six of them more than doubled revenue, which is 20 times the market growth rate. So a huge thank you to our team for this outstanding accomplishment. And rest assured, we aren't talking about small little revenue accounts here that moved from $2,000 in 2023 to $4,000 in 2024. In the middle bubble here, you can see the expansion over the past two years of what we designate as a large account. These are hospitals that deliver more than $100,000 in revenue to Covalon in a given year. So within that same subset of the 15 largest U.S. pediatric hospitals, you see at the top, in 2022 we had just one large account, these $100,000 accounts, one large account. In 2023, that increased to three large accounts and last year it more than double to seven, some amazing progress in the past 24 months. And obviously, we still have a lot of opportunity for growth within these accounts, and they are a large area of focus here in 2025. And a special call out here for our VALGuard product line. Our VALGuard product is one of our newest products for Covalon. We launched the product in late 2020, and it is quickly becoming a strong tool for customers looking to help reduce bloodstream infections in their patients. VALGuard is a transparent environmental barrier designed to protect catheter hubs in-line connections from external contaminants and gross contamination, including bodily fluids and other secretions. We've seen strong early adoption, but really still miles and miles of runway growth here for the future. And looking at our sales growth here within these large important children's hospitals, whose logos you see at the top of the screen. In 2024, our VALGuard business at these large hospitals grew almost 80% overall, which was great to see, and we are driving hard to continue the strong growth curve. And I've deliberately chosen to go a little deeper into our U.S. Vascular Access and Surgical Consumables business because it is a really key part of our future for so many different reasons. And one of those reasons is that it represents a big part of our focused goal to transform Covalon into a more predictable, high-growth med-tech leader. I've talked in the past, and I know this comes up in the Q&A period, a fair bit around lumpiness of our business, year-to-year variability quarter-to-quarter variability. And really at the heart of it, the makeup of our company, they have different elements of predictability and continuity. Our international business, largely concentrated in the Middle East is our lumpiest of businesses, driven by large bid and tenders with frequent timing shifts that delay or even cancel revenue. We are not alone here. This is very common in the industry. In the past years -- in the past 10 years, actually our lowest annual revenue was $1.4 million and our highest was $22 million. So you can see a ton of variability. Our Medical Coatings business was also a challenge as there were very few customers. And as we saw a couple of years ago, when your business really consists of one main large customer, and that goes away, it creates a big void. In the past 10 years prior to 2024, our lowest revenue year for Coatings was $850,000 and our highest was $6.7 million. Again, a lot of up and down there. And that leads our U.S. medical consumables business. Here, given the variability we've seen over the past decade on the two segments I just spoke about. It was a deliberate strategy for the company to overweight our growth focus on this business. which is more predictable than other pieces of Covalon. And as you can see here, we've had a lot of success with this, moving this important business from 27% of our company's revenue at decade ago, to 86% of our revenue in 2024. And in that same time frame, we've grown revenue in our U.S. medical consumables business from $2 million to more than $25 million a 10-year compounded annual growth rate of more than 33% per year and most notably 66% growth in 2024. Now this U.S. medical consumables business is not immune from lumpiness. On the U.S. advanced wound care business, we are not directly driving the demand generation efforts for our collagen products that comes from our partners. And we do see these partners win and lose chunks of business, as well as building inventory in anticipation of business wins or bleeding it off if they lose business or the wins don't materialize to the degree first anticipated. But it's been much more predictable and steadier than our international or medical coatings business. And the U.S. vascular access and surgical consumables piece, that is really critical. It does take a lot of work to get into these hospitals. But once it is in, it is a very sticky recurring revenue model. It will bounce around a little bit quarter-to-quarter, but much less variability than any of the other pieces of Covalon. And it is the one that we absolutely control from end-to-end the most. And so as we continue to grow and accelerate our U.S. medical consumables business, we do expect to see better growth consistency. I want to pause here for a water, one second here. Up here in Toronto, it is a little dry and a little snowy this morning. And so transitioning to the third part that I told you I would walk you through today around the piece of being so much more we can accomplish in the next year and beyond. Good question would be, hey, what are some of the key actions and areas of focus for 2025? And so the elements you see on the slide, they don't represent our plan nor the entirety of our focus for the future, but they are for really critical areas that will be high priority items for 2025. Nailing these in the months and quarters ahead doesn't guarantee five years of future success but they are absolutely critical to enable the bright Covalon future that I know is achievable. The first area is around our growth focused commercial advancement. I highlighted earlier the success of the 2024 playbook in the medical consumables business. And it would be easy to say, hey, that plays working just keep at it. But we know that in all of the areas we play in, we are still a smaller fish in a very large pond. And there is a ton of room for us to accelerate our growth in our advanced wound care business, in our vascular access and surgical consumables business, both in the United States and in international and in spaces that will play in, in the future. And although we still see a fair bit of distraction from a number of our competitors, they [aren’t] (ph) standing still either. And so we have a lot of focus on how we can transform our commercial approach and accelerate our growth to get to scale, delivering the most impactful tools and content to accelerate demand generation, put our team members in the best possible situation to succeed with our customers, utilize new technologies to improve productivity and accelerate our sales pipeline. My background historically has been on the commercial side, and this is my single biggest area of focus here in 2025, working with our commercial leadership and the full team to make an even greater impact here in 2025 and beyond. Second is accelerating our market development activities. Candidly, previous leadership at Covalon, did not put a high degree of focus on this prior to my arrival. But it is the cornerstone of every successful large and small medical device company that I've seen in the past. When you boil market development down in the medical device context to its basics, it is really about educating clinical customers about the problem, the clinical problem. This could be medical adhesive related skin injury. It could be blood stream infections or wounds that won't heal properly. Those are the problems. And then demonstrating that Covalon technology helps to solve that problem through clinical evidence, testing data or other means, and then ultimately communicating all of this to meet our customers where they are and how they want to receive information. It is also about building relationships and engaging with key opinion leaders and key influencers. These are typically clinicians who are well regarded by their peers. And there, we want to tap into their expertise and reach and work with them on clinical challenges that they are passionate about. We are playing catch up here, but I'm excited about how we've moved the needle in the past year. We have collaborated with key hospitals to advance two separate clinical evidence studies with customers that are eager to share the results of their research with the broader medical community. We are working closely with the study sponsors who are pursuing publication in peer-reviewed journals, targeting for later this year. We are also actively engaging with clinical researchers on new and exciting opportunities for collaborative evidence generation. The team is very, very energized on this front. Third area is around optimizing and evolving our operations. We made a lot of headway in 2024, especially related to scaling our operations to meet increased demand for our collagen product, investing in quality and compliance and other key activities. In 2025, a few areas of focus on this front. One is we are investing in automation and other manufacturing enhancements to drive out waste and cost out of our production process. We are also working to simplify and streamline our supply chain and several other actions in the operations area that we'll share in future conversations. And all of these activities will be well supported by the improved quality systems and processes that we may happen in 2024. And here's probably as good a spot, as [I need] (ph) to comment on the potential tariffs that have been in the news here in the past couple of months. Of most relevance to Covalon would be the potential for an across the board, 25% tariffs on goods entering the United States from Canada. There's certainly lots of opinions on if or how this will play out. And if it plays out, what would the Canadian economy look like? Or what would the dollar -- Canadian dollar look like six months or a year from now? I'm not going to wait into the politics of all this, but it is important to note here that while we do manufacture the majority of our collagen in Canada, we have still maintained volume at our contract manufacturer in the United States, and if warranted, we could shift more volume back to the United States. But if these tariffs do come into play, our models would say the worst-case impact would be a couple of hundred basis points of margin pressure. And it's important to understand that we do have a number of options to reduce this potential impact. It's also worth noting that almost all of our revenue comes in U.S. dollars, but the majority of our costs are in Canadian dollars. So if this worst-case tariff scenario were to play-out, it would seem the reason that the Canadian dollar would likely lose value against the U.S. dollar, which would then provide Covalon with a substantial translation benefit. And of course, we are constantly assessing the best manufacturing strategy for the future, ensuring we have the right drivers in place on quality, total delivered cost and speed. And then last but not least, innovation and business development. While we're very focused and excited about the products and technologies we have today, we also have a large hopper of opportunities to advance around new products, new uses for existing products and inorganic actions such as partnerships, mergers and acquisitions. In 2024, with so much focus around our sustaining work, this wasn't a big area of activity. But in 2025, we are accelerating our activities here. We feel it is critical as we think about the company we want to be in the future. For competitive and confidentiality reasons, these aren't areas we can talk about publicly yet. And we are early on in the process, but I will tell you that the hopper is overflowing with opportunities on many, many different fronts. So lots of excitement here in 2025 and beyond. And so to wrap up today's call so that we can take some questions, a quick summary. The past year has been a really exciting one. The team accomplished a lot in a short amount of time and has been open to a lot of change. It was a strong Q4 and a strong year overall. Really proud of the work of the full team to make that happen, a lot of critical actions and outcomes that led to the success of Q4 and 2024. And then the future is bright. We have visibility to a very significant multi-year growth opportunity here at Covalon. Hopefully, I've given you some glimpses into what we're doing and what we're shooting for here. It is going to be a very exciting journey. And we really appreciate your strong support. And so with that, we are going to transition to Q&A. For our questions, we'll start with questions that are typed into the Q&A feature here online. We'll take a couple of minutes of a pause here to allow time for questions to be answered, and then we'll have Saleha triage the questions for us. She will announce the question and who the question is from? And then Katie or I will provide the answers. If time permits afterwards, we'll open the line up for verbal questions.
Saleha Assadzada: Our first question comes from [GT Plus] (ph), do you expect an increase in competition from low cost produced products? And what are your plans to face that?
Brent Ashton: Yes. Thanks, GT. I think over the past five years or 10 years, we've -- in the med-tech space, we've definitely seen those low-cost products coming into the market, and there has been a certain appetite for that. I have no reason to believe that will decrease going forward, although I think we are seeing a bit of a resurgence around, where products are made and the quality that comes with them. And so on that front -- on the plans to face it, I would just say, it's always incumbent on us to demonstrate to our customers that the value they are receiving is the best possible. So our quality, our differentiation and the value of our product shines through.
Saleha Assadzada: Our next question is from [Sergi Mascaro] (ph) who asked can you explain where is your U.S. 70% growth coming from, seeing such growth in a stable market? Who is losing market against your share and why? Going forward, what kind of growth is reasonable for the U.S. market? Can you comment specifically for the collagen U.S. market? What kind of operating leverage should we expect in the business going forward? It's 50% EBITDA incremental margins, something reasonable.
Brent Ashton: Yes. So there were a couple of questions kind of in this vein, and we did try to organize them, but we'll maybe skip around a bit. So a lot of questions here. So thank you, Sergi. The 70% [year] (ph) growth, I don't want to comment on specific competitors. But I would say there are some large players in the space that with us being, as I alluded to a smaller fish in the pond. The opportunity for growth is a little larger there. And we are definitely seeing the opportunity there. And it is really different products of course, between the collagen business where we go through partners where they are winning business, large chunks of business at times. And then the vascular access and surgical consumables space, a little different model where we are going, as I described through our sales team. And so those wins are hospital by hospital against specific competitors, some of the large, as I alluded to. A couple of questions here around kind of going forward. And just a reminder, we don't provide forward-looking guidance. So I'm not going to -- there was a bunch of questions related to that on growth, on income et cetera. And so not going to provide any guidance at this time. But we'll say, what we've talked about in today's meeting and in past meetings. We do feel there is a really significant multi-year growth opportunity here. And we are very pleased with the results and the growth results in 2024. And it is our mission to continue to aggressively grow the company in the future.
Saleha Assadzada: The next question is from [Paul Ciciswas] (ph). Please elaborate on the G&A increase of $1.2 million quarter-over-quarter. And secondly, please elaborate on the current quarter and why it was more or less flat quarter-over-quarter revenue-wise.
Katie Martinovich: Thank you, Paul. So the elaboration on the G&A expense. The reason why it was $1.2 million versus Q3 was we booked bonuses in Q4. Going forward, it will be booked quarterly, so it won't be such a high increase in the last quarter, as well as we've also made some investment in some consulting services to help with the potential growth opportunities for the near future resulting in the increase in G&A costs. As for the revenue, as Brent has alluded to before, because of the lumpiness within the market that we are in, not every quarter, we can see high growth opportunity. It all depends on orders we received from our partners and fulfillment of them.
Saleha Assadzada: The next question is from Arnold Shell, who asked why are several financial measures, including revenue and earnings per share down and in the case of earnings per share significantly down from Q3.
Katie Martinovich: So the reason why the earnings per share is down versus Q3 is because we did have the issue of 2.7 million shares with the warrants all exercised in Q4. With the result of the increase in shares because we are at over $27 million now, there's more shares to go over all of the net income, which is resulting in the lower earnings per share.
Saleha Assadzada: Our next question is from [Paul Zaichik] (ph). Please elaborate why on Page 9, you call the medical consumable business sticky?
Brent Ashton: Yes. So I'll take that one. Thanks, Paul. Yes. I call it sticky. I've been in this space for many years and particularly in the U.S. and a number of other countries around the world, but the U.S. is clearly our biggest area of focus. Once you win an account, it doesn't guarantee business for life, but it does stick and it is that recurring revenue. So there's really two elements. One is, once you get in, you tend to stay in. Hospitals don't tend to like to switch out products every three months, a year, two years, three years because any time they're making a change, there's risk involved in that. And so it is not like maybe like the consumer business where you buy one brand of chips today. And then the next day, a different brand is on sale, so you buy it. Because these products are going on patients, the hospitals tend to want to stay with something unless there's a compelling reason to change. And in our growth case, we are giving them some very good compelling reasons to change. So that's one piece of it. The second piece around that stickiness is really -- as we look going forward, we do see where that can be a really strong play for us in that recurring revenue model.
Saleha Assadzada: The next question is from Christian Schmidt and Dwayne McMullan are around capital cash position and capital allocation. Considering the significant cash position, do you have any updates on capital allocation? How do you plan to use the cash?
Brent Ashton: Yes. So we are really proud of the shape of our balance sheet. We do have a lot of cash. We've got zero debt. And as I talked to other peers of mine and both the med-tech industry and Canadian publicly traded companies and beyond. It is clear that there's -- that's a – there is a little bit of jealousy, probably not the right word, but when we talk about having no data and a strong cash position, that's definitely a good thing. We alluded to elements around using some of that cash on the operations front to increase automation, drive out waste and cost from our production system. We are also always looking at different options beyond that, whether that's inorganic opportunities, as well as anything else in terms of returning cash in different ways. So, nothing to announce, nothing planned at the moment. To be honest, we really like having the flexibility that this level of cash affords us and we'll consider -- continue to consider different options as we advance.
Saleha Assadzada: The next question is from [Zach Truett] (ph). Comparing to Q3, you achieved similar revenue and gross profit outcomes in Q4. However the adjusted EBITDA is down from $2.4 million to $1.1 million. What can best describe this decrease on the bottom-line? Are these one-off expenses? Or are they expected to continue into 2025?
Katie Martinovich: Thank you, Zach. So a lot of this we've already answered, but the big one is they are one-off expenses. They are not expected to continue because as we've -- again, as we are optimizing our expenses, we're writing off old production equipment and disposing it in any previous inventory allowances that we have.
Saleha Assadzada: Okay. The next question is from Christian Schmidt. Last, since you mentioned high growth, can we expect higher revenue and adjusted EBITDA in 2025?
Brent Ashton: Yes. Similar to the previous comments, not in a position where we are going to provide forward-looking guidance, but hopefully, from what we covered, you see as we look at the opportunity in the mid to long-term, a multi-year growth opportunity for the company, for sure.
Saleha Assadzada: The next question is from [Steve Li from Research Capital] (ph) and he asked, are there any key milestones expected in the next 12 months? And secondly, how much of the sales growth would you estimate was due to the exchange rate?
Brent Ashton: Yes. Thanks, Steve. In terms of key milestones, I guess, just lots of them and lots of different things going on, both on the operational front, the commercial front and with our team. And then on the sales growth side of things, I don't think we have -- I'll turn it over to Katie for that. That's maybe something we can provide after the fact.
Katie Martinovich: Yes, we can -- unfortunately, because the exchange rate right now is very volatile. It is a little hard to estimate exactly what potential it would give for sales growth, especially depending on what happens in the events in the next two weeks.
Brent Ashton: So we'll look back. We will take that as an action to look back at 2024 and provide an estimate there. We are going to go back on mute. I know we only have six more minutes here. So, I think this is a record number of questions. I think we've got almost 30. And we'll look to get back to those that we don't get a chance to answer, but we're going to go back on mute to just kind of find two or two to wrap things up here, maybe five or five and go from there.
Saleha Assadzada: All right. We have a couple of questions. First one from [Jerome Ozzie] (ph), who asks what is the latest update regarding the coating strategic review?
Brent Ashton: Yes. Thanks, Jerome. And this question was asked by a couple of different people. And so on that front, we did engage some consulting work part of the reason for the Q4 costs was related to that. And I think it was a good assessment of the business and it is one that we -- when we look at allocating resources and effort going forward, we just see much better opportunities in the -- in particular the U.S. medical consumables space, which is both the collagen, advanced wound care collagen side through partners and the vascular access and surgical consumable space that we handle directly. Also looking at, are there opportunities for different ways to monetize that asset to work with potential partners. We've had a few conversations on some different fronts, but nothing to report as of today on anything solid going forward, but I think the key message is as we head forward, we don't expect that to be a significant part of the Covalon equation.
Saleha Assadzada: And [Jerome Ozzie] (ph) asked the couple of hundred basis point margin impact should the worst case tariffs emerge. Is that gross margin or EBITDA margin or EBIT margin?
Brent Ashton: Go ahead. Sorry, Katie.
Katie Martinovich: It's okay. Jerome, the couple of hundred basis point margin impact would be on the gross margin. That's where the bulk of where we would -- the costs would lie -- would be in the COGS.
Brent Ashton: And as I stated, that is a worst-case scenario. We've got a lot of options to mitigate that, including what we would see in currency fluctuation. And there is, like I said, lots of debate on if, come January, whatever it is, January 20, I think is that going to come to be or not? And certainly, the developments from this week on the Canadian political front. Perhaps that's part of the change that will drive a favorable outcome for, we'll call it, the Canadian economy and trade overall. So --.
Saleha Assadzada: And that concludes our questions.
Brent Ashton: So thanks. I mean the interest in Covalon, I didn't call a lot of attention to it. But on one of the slides we showed the trading volume over the last year, and that's been up substantially the questions. It's certainly in my time here, and I think even as I looked at previous meetings, I think this might be a new record and it might be like similar to our growth like a substantial increase from the past. So apologies for those we won’t get to – we’ll go through after the fact and reach out with answers for the ones we didn’t get to. Just really appreciate all the investor support. The questions you ask are good. They show you’re engaged and wanted to know more. And we appreciate your strong support. Other than that, I really appreciate everything all the time you’ve taken today and wishing all of you a very happy 2025. And on that note, we will sign off. So thank you very much.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.